Operator: Good day, and thank you for standing by. Welcome to Cohu, Inc.'s Fourth Quarter 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during the session, you will need to press 11 on your telephone. You will then hear an automated advising your hand is raised. To withdraw your question, please press 11 again. Please be advised that I would now like to hand the conference over to your speaker today, Jeffrey D. Jones, Chief Financial Officer. Please go ahead.
Jeffrey D. Jones: Good afternoon, and welcome to our conference call discussing Cohu, Inc.'s Fourth Quarter 2025 Financial Results and our outlook for 2026. I am joined today by Luis Antonio Müller, Cohu, Inc.'s President and CEO. If you need a copy of our earnings release, it can be found on our website at cohu.com, or by contacting Cohu Investor Relations. A slide presentation accompanying today's call is also available in the Investor Relations section of the website. Replays of this call will be accessible via the same page after the conclusion of the call. During this call, we will be making forward-looking statements that reflect management's current expectations concerning Cohu, Inc.'s future business. These statements are based on the information available to us at this time, but they are subject to rapid and sometimes abrupt changes. We encourage everyone to review the forward-looking statements section of our slide presentation and the earnings release as well as Cohu, Inc.'s filings with the SEC, including the most recently filed Form 10-Ks and Form 10-Q. Our comments are current as of today, 02/12/2026, and Cohu, Inc. does not assume any obligation to update these statements for events occurring after this call. Additionally, we will discuss certain non-GAAP financial measures during this call. Please refer to our earnings release and slide presentation for reconciliation to the most comparable GAAP measures. I will now turn the call over to Luis Antonio Müller, Cohu, Inc.'s President and CEO. Luis? Good day, everyone. Thank you for joining our Q4 2025 earnings call. I am pleased to share our latest results
Luis Antonio Müller: as we close the year and highlight the continued momentum across the business. First off, let us talk about some highlights. Recurring business remained strong, representing about 60% of total revenue in the fourth quarter. Recurring bookings were up 34% sequentially, driven by stronger demand across service contracts, interface solutions, and handler-related spares business. Systems demand increased 47% quarter over quarter driven by higher equipment orders from major global customers, specifically increased activity from a leading analog and mixed-signal semiconductor customer, renewed investment from a top automotive and industrial semiconductor manufacturer. Ten customers accounted for approximately 63% of Q4 bookings, a healthy level of diversification for this stage of the cycle. For the full year 2025, orders increased 29% year over year. Now let us dive into the detailed results. Fourth quarter revenue of $122 million is 30% year over year and split 40% systems and 60% recurring. Recurring revenue grew 4% quarter over quarter and 25% year over year. We believe the strong recurring business reflects the value of our installed base and customer reliance on Cohu, Inc. across their production environment. Our recurring model continues to provide stable performance, particularly over the past two years of soft equipment demand. Full-year revenue of $453 million is up 13% year over year, confirming the trajectory of the market recovery and initial design win successes. We estimate higher test sterilization trends from September through December among both OSAT and IDM customers, with revenue improvements most pronounced in markets tied to computing and automotive applications. Estimated test serialization is up a point to 76% at December, with computing segment the strongest at 78% and automotive at 75%. We believe this improved utilization during an otherwise slow seasonal quarter underscores a broader positive market dynamic. While some long-standing customers strengthened their installed base support as utilization levels gradually improved, others have engaged with us on new programs. There is a clear change in customer engagement, reflecting both new program ramps and renewed investment in back end test infrastructure, with expansions across automotive ADAS. Design win activity was strong in Q4, analog and power devices, compute-related applications, and predictive maintenance use cases. More specifically, we secured a key transition win for Cohu, Inc. test interface products at a leading analog and mixed-signal customer. We closed the first order for a high-performance thermal configuration of the Eclipse handler supporting a customer's AI device roadmap. We booked a multiunit order for a new handler still in development targeting automotive and physical AI device test. We will be shipping an initial qualification system this summer and follow-on units later in the year. We received a new order for HBM inspection at a customer's engineering lab supporting development activity of next-generation memory devices. We won the first mixed-signal tester order at an analog and connectivity business unit of a large semiconductor manufacturer, broadening the Diamondx tester penetration beyond earlier wins. We secured an order for the Krypton inspection metrology system for production of automotive ADAS processors. This order continued to demonstrate the success of Krypton, and it included the subscription component for PACE inspection software that uses machine learning to improve yield. We secured booking for tri-temperature handlers across multiple customer sites to support growing power module test demand.
Jeffrey D. Jones: Across markets,
Luis Antonio Müller: customers consistently emphasize quality, yield and productivity, and cost of test efficiency, areas where Cohu, Inc. solutions continue to be highly differentiated. As global trade dynamics remain fluid, our low direct exposure to China and strong customer across North America, Europe, and the rest of Asia provide a solid risk balance profile. We remain confident in our ability to navigate regional shifts while staying aligned with customers investing in critical long-term technology transitions. To conclude, Q4 reflected continued market recovery across end markets, with a balanced mix of recurring and system revenue, improving customer engagement, increasing design win traction, expanding AI data center opportunities, and strengthening market signals across several strategic verticals. We enter 2026 with a solid foundation and positive momentum. Thank you for your continued support. I will now turn the call over to Jeffrey D. Jones for a deeper review of our financial results. Jeff?
Jeffrey D. Jones: Thank you, Luis. Before reviewing the fourth quarter results and providing first quarter guidance, please note that my comments refer to non-GAAP figures. Details about non-GAAP financial measures, including GAAP to non-GAAP reconciliations and other disclosures, are included in the earnings release and investor presentation on our website. For Q4 2025, revenue was in line with guidance at $122.2 million. Recurring revenue, which is primarily driven by consumables and is more stable than systems revenue, accounted for 60% of total revenue for the quarter. Revenue for the full year 2025 was $453 million and 13% higher year over year. During the fourth quarter, two customers, one in the mobile segment and one in the automotive segment, each represented more than 10% of our total sales. For the full year 2025, no customer represented more than 10% of our total sales. The Q4 gross margin of 40.8% was lower than guidance due to one-time inventory charges resulting from discontinuing certain product lines and consolidating offerings, which better align our engineering and support resources with customer requirements. By streamlining our offerings, we are better positioned to respond quickly to market changes, and focusing our resources on high-performance computing, HBM memory, and AI-related high-growth opportunities. Operating expenses for Q4 were in line with guidance at $49.8 million. Net interest income, after accounting for interest expense and a small foreign currency loss, was approximately $1.9 million for Q4. The Q4 tax provision was higher than guidance due to a $5 million increase in tax reserves against tax assets. The reserves had no impact on the future benefit of the tax assets or cash taxes. Therefore, while the accounting rules require an increase in reserves, this does not change our expectation of using these assets in the future or affect our cash flow. Moving to the balance sheet. Cash and investments increased by $286 million during Q4 to $484 million at year end. This was due to the net proceeds from the convertible debt and cash generated by operations. No stock repurchases were completed during Q4. Total debt is $305 million and includes $288 million from the Q4 convertible debt offering. Q4 capital expenditures were $3.4 million, mainly for facility improvements. Capital expenditures for full year 2025 were $21 million, including $9 million for the purchase of our Malaysia factory in Q1. In late Q3, we announced a strategic convertible notes offering. Early in Q4, we completed the upsized offering, raising gross proceeds of $287.5 million at attractive rates, including a 1.5% interest rate, 32.5% conversion premium, and a five-year term. We purchased a 100% capped call to limit shareholder dilution until the stock price doubles and exceeds $41 per share. The repayment structure of the notes is net share settlement, meaning Cohu, Inc. will repay the principal of $287.5 million in cash. The banks cover the capped call up to $41 per share, and thereafter, Cohu, Inc. has the option to settle any in-the-money amounts in cash, shares, or a combination of both. This structure limits shareholder dilution. The net proceeds will provide additional liquidity to strengthen our balance sheet and support strategic initiatives. Looking ahead, we expect Q1 revenue to be seasonally flat with Q4. Our recurring revenue is forecasted to represent about 60% of total Q1 revenue, while systems offset the typical seasonality of the first quarter and account for 40% of total Q1 revenue. Our guidance for Q1 revenue is approximately $122 million plus or minus $7 million. The gross margin for Q1 is projected to return to corporate average at approximately 45%. The unique inventory charges that occurred in Q4 are not projected to continue in Q1. Operating expenses are expected to be flat compared to Q4 at about $50 million. Q1 interest income, net of interest expense and foreign currency impacts, is projected to be approximately $1.9 million at current interest rates. The Q1 tax provision is expected to be about $5.5 million, and the diluted share count for Q1 is projected to be approximately 48.5 million. We are targeting total capital expenditures to be about 2% of revenue in 2026. The company is well positioned now to support the business ramp, and we anticipate normal maintenance CapEx each quarter this year. Our focus for 2026 will be to support R&D investments that are enabling several design wins in the compute market, including AI data center infrastructure, HBM memory, and physical AI applications, along with progressively increasing our cash flow generation. This concludes our prepared remarks. We will now open for questions.
Operator: Thank you. As a reminder, to ask a question, please press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. Our first question comes from the line of Craig Andrew Ellis from B. Riley Securities.
Luis Antonio Müller: Thanks for taking the question.
Jeffrey D. Jones: Luis, I wanted to go back to the order activity in the fourth quarter.
Craig Andrew Ellis: It looked very strong in both systems and recurring. Can you just talk about what you are seeing with those orders? How much of that converts in the first quarter versus being pipelined for later in the year? Appreciate any insight on that.
Luis Antonio Müller: Okay. Hi, Craig. Yes, I can make some comments on the orders here. I am going to need a little bit of help from Jeff on the timing of the conversion to revenue. So just to recap, right, we had systems orders were up 47% quarter on quarter. So that really sort of bucked the trend on the seasonality. That really affected,
Craig Andrew Ellis: primarily handlers,
Jeffrey D. Jones: thermal subsystems,
Luis Antonio Müller: which we typically sell for mobile processor test in SLT. And, you know, some testers for mixed-signal and RF/M device. On the recurring side, orders were up 34% quarter over quarter. There was actually a couple of large service contracts
Craig Andrew Ellis: involved on that recurring business.
Luis Antonio Müller: That renew annually. And so that obviously is going to spread out throughout 2026. But we also saw an increase in bookings on interface products and handler spares that typically go along with utilization improvement. And, Jeff, I know if you have better comments on the timing
Jeffrey D. Jones: Yes. I think, well, you are absolutely right about the recurring orders, Luis, and the portion that is going to be longer term, multiple quarters. The systems, we have about 70% of our guided revenue in backlog coming into Q1, with a majority of the balance being shipped in Q2. So it is really the system shipments showing up in Q1 and Q2, Craig.
Craig Andrew Ellis: Got it. Thanks for that, Jeff. And then the follow-up question is related to revenue and then with a clarification on gross margin. So Neon, high bandwidth memory has been a sharp focus through the year in 2025. Luis, can you tell us where the business exited with revenue in that product group? And remind us what your expectations are in 2026? And then the clarification is on your end, Jeff, and it relates to gross margin. Is it fair to say that that one-time end of manufacturing charge in the fourth quarter was about 400 basis points or the variance between guidance and what was reported? Or were there other things at play?
Jeffrey D. Jones: That was the majority of it, Craig. I would say about 350 of it was 150 basis points. Was due to that one-time charge. There was some mix that accounted for the balance.
Luis Antonio Müller: And to your comment about the Neon revenue, we did exit 2025 at $11 million on the HBM market. We already booked three more systems here in we booked the system in Q4. January for Q1. Obviously, that is next quarter, but it is booked and we are forecasting revenue this year in HBM between $15 and $20 million.
Craig Andrew Ellis: That is helpful, guys. Thank you.
Operator: Our next question comes from the line of David Duley from Steelhead Securities.
Jeffrey D. Jones: Yes. Thanks for taking my question.
David Duley: I was wondering if you could just recap what you said about Eclipse activity during the quarter. I think there was a couple of mentions of that. And then maybe help us understand how that product line should ramp throughout 2026. And do you have the capacity to meet demand?
Luis Antonio Müller: Hi, Dave. Yes. So we booked a first configuration of a I I I guess, can say super high power, but probably a year from now, there is going to be another super high power. So let us just say an even higher power
David Duley: version of our TCORE thermal control
Luis Antonio Müller: on an Eclipse handler. We booked that system in Q4. It is a system that we have been working with a customer on qualification. We shipped a first unit, the real production unit here already in the late January time frame. I do not think I can really sort of disclose what the volume projections are for the year for the Eclipse handler, but, fair to say that we have, you know, we have forecast for ramping production, and we do have the capacity. Yes. We do have the capacity to ship systems this year based on the forecast that we have received so far from
David Duley: more than one customer actually for that system.
Operator: Okay. And then
David Duley: when you think about 2026 and just whatever revenue profile, you know, it is obviously going to grow. But I am just kind of wondering how you might think about the first half versus the second half. And, you know, it seems like you have strong order momentum, and, you know, you kind of buck seasonal trends in the first quarter here.
Craig Andrew Ellis: And so I suspect that, you know, we are kind of starting our recovery period through the balance of the year. Maybe you could just make some comments on that.
Luis Antonio Müller: Yes. We were certainly seeing an increase in order momentum across our traditional customers in auto and industrial space.
David Duley: With that said, I think we are a lot more excited really is about
Luis Antonio Müller: the high-performance computing opportunities that we see with the Eclipse handler
David Duley: we should be increasing shipment rate of Eclipse in the second quarter going into third quarter. A little too soon to talk about what it looks like in the fourth quarter, perhaps, so
Luis Antonio Müller: more of a typical seasonality. I do not know. But right now, what we are seeing is sort of a ramp heading to the middle of the year.
David Duley: Okay. Excuse me. Jeff, if you could just comment
Craig Andrew Ellis: on how the gross margin profile should look throughout the year with the higher revenues expected in Q2 and Q3.
David Duley: Yeah. Absolutely, Dave. So just go back to my
Jeffrey D. Jones: model here and kind of reference. Maybe I will just reference the analyst consensus as well, which let us just call it roughly $130 million Q2 and Q3. So at that level of revenue, $130 million a quarter, gross margin should be driven to the high 46% range, 46.7%, 46.8%, that range.
David Duley: And then as we get into, you know,
Jeffrey D. Jones: range of $150 million per quarter that starts to breach the 48% gross margin number, so just under 48%.
David Duley: And then when we get back to what we believe at the moment is
Jeffrey D. Jones: sort of our normalized run rate, sort of normalized business conditions, would be about $160 million a quarter, and that would be 48% gross margin.
Craig Andrew Ellis: Okay. And then final thing for me is if you could just comment
Jeffrey D. Jones: you know, I think
Operator: many
Craig Andrew Ellis: companies have seen an increase in customer activity and, you know, customer forecasts increasing. And, you know, maybe you could just describe how your customer activity has changed over the last month or so as we are moving into an upturn year.
Luis Antonio Müller: Well, I think it goes along with what I said initially here, Dave, that we are seeing an increase in demand for our systems from traditional Cohu, Inc. customers, you know, the traditional automotive, industrial IDMs. But we are else, but more importantly, we are seeing a strong pull or should say a forecast for the Eclipse product line going into
David Duley: compute and mobile
Luis Antonio Müller: applications. So, yeah, the situation is improving. I think it is visible on the utilization rate that in a seasonal fourth quarter went up instead a point to 76%.
Operator: Added about how we are answering 2026. It should be should be a good year. We are definitely projecting another growth year. We did have 13% revenue growth in 2025. And we are modeling another growth in 2026. Just to add to that, Dave, in terms of a market indicator, recurring revenue now has increased sequentially four quarters in a row. And so that, as you know, is a sign of some of market recovery. And so we couple that with utilization and it looks like it is all headed in the right direction. Alright. Thank you. Thank you. One moment for our next question.
Jeffrey D. Jones: Our next question comes from the line of Robert Mertens from TD Cowen.
Operator: Hi. This is Robert on behalf of Chris. Thanks for taking my questions. I just wanted to clarify in terms of the high bandwidth memory inspection, you secured a new
Luis Antonio Müller: win for that to use in the engineering lab. Is that working with the same customer, or is that a new customer
Operator: that you have worked with? That is hi, Robert. That is the same customer. Same customer, but going into the lab for future HBM development.
Luis Antonio Müller: Okay. Got it. Thank you. And then just in terms of just making sure I heard correctly, though. Multiunit order for the new handler in the under development. With the qualification shipment later in the summer. Is that revolving around your Eclipse handler and the GPU opportunity, or is that separate from the commentary?
Operator: That is separate from that commentary. That is targeting auto, primarily automotive ADAS and physical AI type devices. So a different type of application, different product altogether.
Luis Antonio Müller: Okay. Got it. Thank you.
Jeffrey D. Jones: Thank you. One moment for our next question. Our next question comes from the line of Brian Edward Chin from Stifel.
Operator: Hi, this is Daniela Talia. I am on for Brian Chin. Thank you for your questions. My first question is around HBM inspection to continue on that. Is your customer the same customer doing a 100% inspection with your Neon platform, and how does that inspection intensity for this step change moving to HBM4?
Luis Antonio Müller: Hi. Yes. The customer is doing a 100% inspection with our platform. As new generation HBM devices come up, the requirement in terms of size, defects that you are looking, size of defects you are looking for, or ball pillar count that you have to measure obviously increases. And with that, so does the time it takes to do the inspection. I do not have a number to give you right now and say what percentage increase in the time of inspection and, therefore, a slowdown of the process. Certainly, those devices are getting larger and with the higher interconnect count as we move along here in newer generations.
Brian Edward Chin: Okay. Great. Thank you. And then, also, I know you mentioned $15 to $20 million for that revenue base. Do you see the shipments more linear or weighted to the first half or the second half going into 2026?
Luis Antonio Müller: At this point, we are seeing this fairly linear through the year.
Jeffrey D. Jones: Okay. Great. Thank you. Thank you. One moment for our next question. Our next question comes from the line of Denis Pyatchanin from Needham and Company.
Operator: Great. Thanks for taking our questions. My first one was
Luis Antonio Müller: about the IDM versus OSAT performance. Maybe you guys could provide some more color on what saw in the fourth quarter for IDMs or OSATs and then maybe some segment color from what you are seeing in the first quarter. And maybe beyond that if you can.
Operator: Hi, Denis. I can say is from a utilization standpoint, in the fourth quarter, IDMs were a little over 76%, and OSATs a little over 75%. As we look into the first quarter here, I am starting to think that, you know, we do not typically forecast utilization, but starting to believe that that may flip. I think utilization may go up a bit. But I am thinking the OSATs may be going up faster than the IDMs, at least as an early view of the first quarter. We will see how that really ends up in March.
Jeffrey D. Jones: Right.
Luis Antonio Müller: And then for the second part of that question about the segments, so maybe versus auto and industrial, how are they looking from a systems perspective into the first quarter?
Operator: Compute, as we exit Q4, compute was at 78%, auto 75%, industrial 77%, mobile 72%, consumer 76%. Going into first quarter, I am seeing the biggest momentum around mobile, thinking mobile is going to utilization of mobile is going to potentially cross the 75% mark. Compute should continue to rise. And I do not know much about the others at this point. Great. And then for my second question, regarding that analog and mixed-signal, could you give us some more color on that? Sure. We have won a customer a little over a year ago that is a large mixed-signal supplier into the automotive market. They are one of the top six or seven automotive semiconductor manufacturers. We have been deploying that tester into, you know, more recently here, two out of their three major business units. And they also have been diversifying their product line. So we got an order qualification from that second business unit that I just referenced. We know that their products that are going through our testers now are some digital controllers and PMIC devices that are being used in data centers. They actually, you know, shown in some news release there for data center racks and data center boards surrounding large GPUs. And we are expecting to see an acceleration at least of one of these tester design wins, particularly in the digital controller side, coming up towards the middle of the year.
Luis Antonio Müller: Thank you for the color. That is it for me.
Jeffrey D. Jones: Thank you. At this time, I would now like to turn the conference back over to Jeffrey D. Jones for closing remarks.
Luis Antonio Müller: Hey, I would just like to say thank you for joining today’s call, and we look forward to speaking with you again soon.
Operator: Have a good day.
Jeffrey D. Jones: This concludes today’s conference call. Thank you for participating. You may now disconnect.